Operator: Good day, and thank you for standing by. Welcome to Teladoc's Second Quarter 2021 Earnings Conference Call. [Operator Instructions]. I would now like to hand the call over to your speaker today, Mr. Patrick Feeley, Vice President of Investor Relations.
Patrick Feeley: Thank you, and good afternoon. Today, after the market close, we issued a press release announcing our second quarter 2021 financial results. This press release and the accompanying slide presentation are available in the Investor Relations section of the teladochealth.com website. On this call to discuss the results are Jason Gorevic, our Chief Executive Officer; and Mala Murthy, our Chief Financial Officer.  During this call, we will also provide our third quarter and full year 2021 outlook, and our prepared remarks will be followed by a question-and-answer session.  Please note that we will be discussing certain non-GAAP financial measures that we believe are important in evaluating Teladoc Health's performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliations thereof can be found in the press release that is posted on our website. Also, please note that certain statements made during this call will be forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to risks, uncertainties and other factors that could cause the actual results for Teladoc Health to differ materially from those expressed or implied on this call.  For additional information, please refer to our cautionary statement in our press release and our filings with the SEC, all of which are available on our website.  I would now like to turn the call over to Jason.
Jason Gorevic: Thank you, Patrick, and good afternoon and thank you for joining us today. After the market close, we reported another strong quarter, marked by continued momentum across the business and robust demand for our broad suite of integrated whole-person virtual care. The broad-based strength across our portfolio drove revenue of $503 million in the second quarter, an increase of 109% over the prior year, including organic revenue growth of 41%, which excludes revenue from acquisitions completed over the past 12 months.  The strong momentum across our channels and geographies gives us the confidence and visibility to increase our full year revenue guidance to $2.0 billion to $2.025 billion. As we've discussed previously, Teladoc's aim is to provide whole-person virtual care. It's not enough to simply virtualize the current health care experience, simply putting a doctor on the screen.  The health care system is already fragmented, and virtual care shouldn't simply mirror that problem. Instead, we need a single virtual solution that seamlessly takes care of all of a person's health care needs, redefines the consumer experience and uses data to improve care at scale.  At Teladoc Health, we're doing that now. And during the second quarter, we continued to demonstrate progress on achieving our goal of completely reimagining the health care experience. Our vision starts with engaging more consumers.  During the second quarter, our global network of clinicians provided more than 3.5 million visits, an increase of 28% over the second quarter of last year when we were in the middle of the pandemic. This means that even as more people are being vaccinated and restrictions are lifting in many parts of the world, consumers and providers are increasingly relying on Teladoc Health's virtual care. We're now on track to provide more than 13.5 million visits for the year.  The persistent strength in utilization has been driven by growth in visits in noninfectious diseases and specialty care as consumers are turning to our services for a broader array of conditions. During the second quarter, 80% of member visits in the B2B channel were related to noninfectious diseases versus approximately 50% in the pre-pandemic period. Demand for our mental health services remains especially robust as consumers and providers recognize the benefits of the virtual modality for mental health care.  We're just starting to see the incidence of infectious diseases, such as acute respiratory illness, begin to trend up for the first time in nearly a year as the usage of PPE and social distancing has declined. This follows a period of historically low infectious disease transmission and gives us confidence in our second half outlook.  Turning to chronic care. The number of members enrolled in the Livongo suite of products grew 45% year-over-year to 715,000. Rather than focus on one particular disease, our approach is to treat the whole person in an integrated manner, which is important given that over 40% of adults in the U.S. are living with multiple chronic conditions.  As a result of this approach, we continue to drive significant growth in multi-program enrollment. Over 20% of our chronic care members are now enrolled in more than one program, up from 6% in the second quarter of last year. The growth in chronic care members, combined with the greater number of individuals enrolled in multiple programs, such as members enrolled in both our diabetes and hypertension programs, resulted in a 60% year-over-year increase in the total number of chronic programs in which our members are enrolled.  Most importantly, our services are driving better outcomes. For example, in a recent survey of over 2,000 consumers of our virtual mental health services, more than 90% of those who sought care experienced improvement, with nearly 40% experiencing a significant breakthrough during treatment.  In the marketplace, our whole-person approach to care continues to resonate as clients understand the value we deliver and are coming to us for our broad integrated suite of services.  I'm very proud to report that during the second quarter, we signed an expansive new agreement with HCSC, the fifth largest health insurer in the U.S. As part of this agreement, we will provide our suite of chronic care solutions across their commercial fully insured members in several markets and significantly expand our products offered to their ASO clients.  Beginning in 2022, we will provide eligible HCSC members in fully insured plans with access to our diabetes and hypertension programs. This agreement also includes bringing our full suite of chronic care products to HCSC's ASO markets embedded into their well-being management and health advocacy solution offerings. We're honored to have earned the trust of HCSC and extremely excited about working together to empower more people living with chronic conditions, and we see tremendous opportunity to expand with HCSC in the future.  Our vision to reimagine primary care also continues to gain traction. Our Primary360 product delivers a fully integrated solution of mental and physical health, leveraging technology and data, bringing together a full virtual care team for the consumer and integrating into the physical delivery system to get consumers the right care at the right time.  During the second quarter, we signed several new deals to launch Primary360. I'm pleased to report that just this week, we signed a significant Primary360 contract with a national payer, and we're in late-stage discussions with several other health plans.  As we turn to hospitals and health systems, it's evident that we are uniquely positioned to help them improve outcomes and reduce costs. During the second quarter, we signed multiple new chronic care agreements in the health system market, including a significant contract with a large Florida-based health system to bring our whole-person diabetes and cardiovascular programs to their at-risk populations.  Our pipeline in the health system market continues to grow, and we see further opportunities to expand these relationships as we deliver value for our clients and members. This represents a significant validation of our thesis that Teladoc Health's broad distribution would open up new channels for the Livongo chronic care solutions.  In the international market during the second quarter, we signed an agreement to expand our relationship with Telefónica. The new partnership makes our telemedicine services available to more than 60 million customers of Vivo, Telefonica's Brazilian subsidiary and the leading telecom company in that country. This partnership allows Telefonica to provide more value to their customers and enables Teladoc to connect millions of consumers with the care and resources they need to stay healthy.  Expanding our international presence, our differentiated global footprint allowed us to collaborate with Cigna International for local populations in India during the recent humanitarian crisis. We worked with Cigna International to rapidly set up live clinical support for hundreds of thousands of individuals facing challenges in accessing the country's overwhelmed health care system. I'm extremely proud to say that we were able to quickly assist U.S. multinational corporations to meet the health needs of their employees in India during a time of great need.  Earlier this month, we also announced a new partnership with Microsoft. We're working in conjunction with Microsoft to integrate our Solo platform for hospitals and health systems directly within Microsoft Teams. The combination will allow clinicians to access the Solo platform, including its virtual care workflows, data and tools without having to leave the Teams environment. The combination of our clinical leadership and purpose-built medical-grade technology with Microsoft's communications architecture will enable us to deliver a seamless experience to providers and patients.  The integration of Solo into Teams represents the first step in this partnership. And together, we will look for further areas to develop and leverage technologies to improve the health care experience.  We're making great progress on our road map for innovation. Earlier this month, we launched our first integrated Teladoc-Livongo product, myStrength Complete, which combines care from Teladoc therapists and psychiatrists with the Livongo digital mental health capabilities to deliver a differentiated market-leading solution that provides personalized targeted care to individuals in a single comprehensive experience. The launch of myStrength Complete represents another example of the power of Teladoc's differentiated data and behavioral science capabilities to deliver clinically relevant insights that empower consumers and enable clinicians to deliver high-quality care.  Our ability to transform data into actionable insights allows us to provide a highly personalized experience and deliver longitudinal virtual care at scale, which positions us to realize our vision of becoming consumers' trusted destination for whole-person health.  We look forward to sharing more about our vision and growth strategy at our Investor Day later this year.  With that, I'll turn the call over to Mala for a review of the second quarter and detailed guidance.
Mala Murthy: Thank you, Jason, and good afternoon, everyone. During the second quarter, total revenue increased 109% to $503 million or 41% excluding acquired revenue. Total U.S. revenue for the quarter was $465 million, representing growth of 121% over the prior year's quarter. Total international revenue of $38 million increased 24% over the prior year.  Access fee revenue for the second quarter increased 138% year-over-year to $434 million and represented 86% of total revenue, up from 76% in the prior year's quarter. The increase in access fee revenue as a percent of total revenue is primarily due to the acquisition of Livongo and InTouch Health, both of which generate a majority of their revenue from subscription access fees as well as growth in direct-to-consumer mental health, which is sold on a subscription basis.  Visit fee revenue for the second quarter of $59 million increased $5 million sequentially and $0.5 million year-over-year despite a difficult COVID-related comp in the prior year.  Turning to membership and access. We ended the quarter with U.S. paid membership of 52 million members, an increase of 500,000 members sequentially over the first quarter. Individuals with visit fee only access was 22 million at the end of the second quarter. Total unique members enrolled in one or more of our chronic care programs were 715,000 members as of the second quarter, a 45% increase over the 493,000 members as of the prior year's quarter pro forma for the merger with Livongo and an increase of 57,000 members sequentially over the first quarter.  Average revenue per member per month was $2.47 in the second quarter, up from $1.02 in the prior year second quarter and $2.24 in the first quarter of 2021. The leading drivers of the $0.23 sequential increase in revenue per member were growth in direct-to-consumer mental health and chronic care program revenue.  Turning to visits. During the second quarter, we provided 3.5 million visits through our network of clinicians, representing 28% growth over the prior year's quarter, which was during the height of the pandemic in the U.S. Platform-enabled sessions, which represents encounters facilitated by our license platform and provided by our clients' own clinicians, were an additional 1 million in the quarter.  The annualized utilization rate for our members was 21.5% in the second quarter, a 550 basis point increase over the prior year's quarter and a 190 basis point increase sequentially over the first quarter of this year.  Adjusted gross profit, which excludes depreciation and amortization of intangibles, increased to $343 million. Adjusted gross margin was 68.1% for the quarter compared to 62.3% in the second quarter of 2020. The 580 basis point improvement in adjusted gross margin is primarily attributable to the increased mix of subscription fee revenue versus the prior year.  Gross profit and adjusted gross profit in the second quarter of 2021 include the benefit of approximately $6 million in lower expenses on Livongo devices attributable to purchase accounting adjustments related to the merger.  Adjusted EBITDA was $66.8 million in the second quarter compared to $26.3 million in prior year's quarter. Adjusted EBITDA in the second quarter of 2021 includes a benefit of approximately $6 million attributable to purchase accounting adjustments mentioned previously. The adjusted EBITDA outperformance in the second quarter was driven in part by operating expense performance as we continue to make progress against cost synergies, including integrating back-office functions and consolidating vendors.  Net loss in the second quarter was $134 million compared to a net loss of $26 million in the same quarter last year. The larger net loss was primarily attributable to increased stock-based compensation, loss on extinguishment of debt and amortization of acquired intangibles. On a per-share basis, net loss was $0.86 for the second quarter compared to a net loss of $0.34 in prior year's quarter. Net loss per share includes stock-based compensation expense of $0.53, extinguishment of debt of $0.20 and amortization of acquired intangibles of $0.30.  We ended the quarter with $786 million in cash and short-term investments, while our total recorded debt outstanding as of June 30 was $1.2 billion. Operating cash flow in the second quarter was $52 million.  Now turning to forward guidance. For the full year 2021, we now expect revenue to be in the range of $2.0 billion to $2.025 billion. We continue to expect adjusted EBITDA in 2021 in the range of $255 million to $275 million, including an approximately $20 million benefit from lower expenses on Livongo devices attributable to purchase accounting adjustments related to the Livongo merger.  As discussed previously, during the second half of the year, we do anticipate reinvesting cost synergies back into the business to fuel long-term growth, including the rollout of new capabilities and new products such as myStrength Complete and Primary360, continued integration of Livongo, enhancements to our integrated data platform and expansion into new markets. We now expect total visits in 2021 to be between 13.5 million and 14 million visits, representing growth of 27% to 32% over the prior year.  For the third quarter of 2021, we expect revenue of $510 million to $520 million, representing growth of 77% to 80% over the prior year's quarter. We expect total paid membership in the range of 52 million to 53 million and anticipate total visits during the third quarter of between 3.4 million and 3.6 million visits, which represent year-over-year growth of 20% to 27%. We expect third quarter adjusted EBITDA to be in the range of $60 million to $65 million.  With that, I will turn the call back to Jason for closing remarks.
Jason Gorevic: Thanks, Mala. As you've heard, the second quarter was marked by exciting new client wins, product launches and tremendous progress on our quest to be a category-defining provider of whole-person virtual care. We're incredibly excited to be uniquely positioned to revolutionize virtual care and transform the health care experience. That opportunity was on full display last week at our 15th Annual Teladoc Health Forum, the preeminent gathering of leaders from across the industry focused on the advancement of virtual care within the health care system. We set a record for attendance this year with over 4,000 registrants, hearing from over 100 industry leaders across the health care system on topics ranging from the evolving consumer expectations to hospital-based strategies for virtual care. I'm grateful and humbled that so many industry leaders joined us in this effort.  As always, thank you for your continued interest in Teladoc Health. And with that, we'll open the call for questions. Operator?
Operator: [Operator Instructions]. Your first question is from Sean Wieland of Piper Sandler.
Sean Wieland: Congrats on a great quarter. I was hoping we could go into a little bit more detail on the myStrength Complete launch. I know it's early, but if you can tell us a little bit about what the dialogue with the prospects are like, if there's any pushback, how it's priced, expected uptake and maybe anything else you want to share.
Jason Gorevic: Yes. Thanks, Sean. We're excited about myStrength Complete. And as we mentioned, we have several sales for our new clients, especially among large employers, that we've just recently launched with the launch of that product. We also have a tremendous pipeline that spans across both employers as well as health plans. In fact, I was recently on a video call with the senior team from a very large health plan that sees this as a significant opportunity for step care, right, which is the opportunity to bring the right solution to the consumer that not only delivers better outcomes but also is the most efficient delivery of care, using digital technology assets where appropriate and then supplementing with both coaching as well as therapy and, if necessary, psychiatry.  And the underpinnings of all of this are the data science, right? So engaging the consumer with a personalized approach that uses all of those capabilities to optimally manage the mental health care needs and deliver the best care for the consumer. And the most senior team at this health -- large health system and health plan was very excited about using the full breadth of those assets in a way that can improve mental health care that also improves the physical health care as -- and does it in a very efficient manner because we all know that there's a struggle to find enough psychiatrists and we want to use people, especially the mental health professionals, at the top of their license.  So we're seeing this pipeline -- it was robust to begin with, and it's building as we go into the back half of the year. And then lastly, I would say it is one of the first and most tangible market-facing integration points that brings together the best of Livongo and Teladoc.
Operator: Your next question is from Lisa Gill of JPMorgan.
Lisa Gill: Jason, can we just spend a couple of minutes talking about Primary360? I know you said that you have a significant national payer. Can you maybe just give us an idea of how many members that is? Are they currently on your platform? Are they new members? And then also, can you just give us an idea of services that will be rendered and how the payments will work? Will it just be kind of a traditional collect the PMPM and then have a visit fee? Or is it something that's going to be different with this national payer?
Jason Gorevic: Yes. So thanks, Lisa. We're really excited about Primary360, and we're poised already to launch several large national employers, Fortune 1000 employers in the back half of this year as well as having signed a significant national agreement that you mentioned. And we're in very, very late-stage discussions with several other large payers.  So this is an area that we have leaned into because it capitalizes on the full breadth of our capabilities, and we believe that we're unmatched in the marketplace. And what we're hearing from prospects is that, that's really validated. And they're excited by the combination of a virtual primary care relationship, a team approach to care using data and technology to deliver the best care and also to do it in a way that aligns with a virtual-first plan design that really incents care that virtually -- that gets the consumer to seek virtual care first such that we can make sure that they get the optimal care whether they need to be seen in person or can be taken care of virtually. With respect to the pricing model, I think the early pricing models you'll see will be a PMPM -- likely a higher PMPM than we've seen historically for, for example, our general medical or any of our individual services, and then a wide array of visit fees that reflected the value that we bring. So for example, a 30-minute introductory visit with a primary care physician obviously is worth a lot more than a virtual urgent care visit to take care of someone's strep throat or sinus infection, for example. And so we expect to see increase on the PMPM side as well as on the visit fee side. As we look into the future, we're excited about more value-based reimbursement structures that rewards us for delivering better outcomes as well as reducing the cost of care to where we ultimately see ourselves sharing in risk with the payers and our clients. And so that will be an evolution over time, but we're actively talking to clients about that evolution even at the beginning of our relationships with them. So we're very, very excited. I would say, stay tuned relative to announcements and details about the new clients that we expect to launch. I'm obviously -- I can only say as much as I can say, and I think we've gone about as far as we can at this point. But stay tuned for some exciting announcements.
Mala Murthy: Yes. But just to punch one point home, the pipeline for Primary360 that we are seeing is very, very strong. If I look at the growth in the pipeline sequentially, we are seeing real strength in the pipeline. And that, to me, is one of the important markers for our confidence in growth as we look ahead.
Operator: Your next question is from Sandy Draper of Truist Securities.
Sandy Draper: I guess, Jason, maybe just a clarification on the relationship with HCSC. I wasn't clear if that is more -- you now have a relationship and you're now going to go to members and try to sign business? Or do you have actual business in hand and they're -- you talked about opportunity to expand. Just try to expand -- is this really a license into that large base? Or is this business -- the contracts you've signed and then the expansions are with additional service? I just wasn't clear on how the relationship was starting out, but it sounds like an interesting one.
Jason Gorevic: Yes. Thanks. We're incredibly excited about the HCSC relationship. In fact, I'd call it a landmark deal for us. We will be rolling out into significant and multiple commercial fully insured markets of theirs. So when you ask what's signed in terms of a contract, we have signed contracts to roll out to those populations. We have good visibility into the revenue that will come from that. And so that is essentially locked and loaded. We also work with HCSC to then engage with their self-insured clients and roll out into their self-insured clients, which are obviously multimillion-member population. And we roll out with the broadest array of our chronic care solutions or what we call our whole-person chronic care solutions that wraps in diabetes management with weight management, diabetes prevention and mental health care, for example. Hypertension, that does the same that brings in our stress management and mental health solutions, along with weight management solutions because those are the sort of the full array of capabilities that we need in order to be able to manage the whole person who are living with those conditions. So we see the opportunity not only to go penetrate that self-insured population, and we've already signed several large self-insured clients through that relationship, but also then to continue to expand the scope of the services that we bring both to their fully insured as well as self-insured markets.
Operator: Your next question is from Charles Rhyee of Cowen.
Charles Rhyee: Jason, maybe following up there on HCSC. When you say multimillion lives, is that something we would expect at the start of the year? Or is that more where you expect to be maybe as you roll out? And is that over the course of maybe the first year? Or is that over a multiyear period? And then just a follow-up on an earlier question around myStrength. Can you kind of describe sort of what the difference between the myStrength Complete platform would be versus BetterHelp? And is there any thoughts to kind of integrate those 2 at some point down the road?
Jason Gorevic: Yes. So Charles, nice job sneaking in two questions there. With respect to HCSC, we will see a significant set of growth in the first quarter, in the beginning of '22. But I would expect that will grow and continue to grow over at least to probably 3 years' time. So that's an opportunity that we're very excited about. We'll begin to harvest that opportunity at the beginning of '22, but we'll continue to see growth out of that over the course of at least 2 or 3 years. And as I mentioned, I think we have significant expansion opportunity beyond what we've contracted for today. And then with respect to myStrength Complete, myStrength Complete is really a B2B offering that brings together the best of the Livongo digital mental health assets and underlying data science with the Teladoc Health therapy and psychiatry network to deliver virtual visits. It is not delivered on a direct-to-consumer basis. And we are very excited and continue to be extremely positive about the BetterHelp brand, the growth of BetterHelp in the direct-to-consumer markets.  And we think that there's a very, very strong sort of complementary nature to our direct-to-consumer offerings and our B2B offerings. And the step care that we bring into the B2B markets helps to deliver more efficient care for the payers who are buying those services on behalf of their members.
Mala Murthy: And I would also add, if you look at the growth in specialty visits that we are seeing in our business, right, it has more than doubled. And so -- and that is a trend that has continued on for the last several quarters. And particularly within specialty, if you look at the growth in mental health, both on the B2B side and the direct-to-consumer side, unsurprisingly, there is a massive pent-up demand for sub-services. So I would expect the growth across mental health and specialty to continue. And we are really excited by the launch of myStrength Complete. It is, as Jason talked about a few minutes ago, a really important proof point for the coming together of the assets and capabilities across Teladoc and the legacy Livongo.
Operator: Your next question is from Jailendra Singh of Credit Suisse.
Jailendra Singh: I want to go back to your chronic enrollment numbers disclosure. At 57,000 additions in the quarter, you came in better than our expectations. But clearly, there was some confusion around what is the right consensus figure there. Just curious if you can talk about how did that figure turn up in terms of compared to your own expectations. And any breakdown between more enrollment at your [indiscernible] previously versus new accounts?  And anything you can share -- I know you don't guide on that metric, but any directional commentary for second half, how you think about that enrollment metric for the outlook?
Jason Gorevic: Yes. Thanks, Jailendra. We're really happy with the new enrollment. I appreciate you're asking about that because we had a new commentary around that to make sure we gave as much transparency as we can. We're excited about the fact that we saw a 45% year-over-year growth in unique members. We're also equally excited to see the expansion of those -- the incidence of members who are enrolled in multiple chronic care solutions, having gone from 6% a year ago to 20% of enrollees being enrolled in multiple programs in the second quarter. And that's what translates to overall enrollment expansion of 60%, right? So if you look at each enrollment into each program as a unique incident, that we would have seen 60% growth. But we think the best metric is to give you unique users as well as what percentage of users are enrolled in multiple programs. It was in line with our expectations. And so it was -- historically, Livongo was always sort of first half of the year oriented in terms of its new enrollment because clients frequently come on the first 2 quarters of the year or about generating new enrollment, and then there's modest increases over the course of the year.  Historically, about 70% to 80% of the Livongo growth in enrollment came in the first half of the year. I think that's a reasonable proxy for this year. And so I wouldn't want to get ahead of that in terms of expectations. And that's what's built into our modeling and our guidance.
Mala Murthy: And I'd also add, Jailendra, great question. As we have said for the past few quarters and when we guided on the year, we are going to give you metrics on membership and unique enrollees as we've talked about. But remember, we've also said that as we think about our growth and our drivers of growth, it's not just one lever, right? It's not just about more members or more enrollees. It's also about growing our revenue per member. And you can see in what we just said in our prepared remarks, we have actually shown nice expansion and increase in our PMPM. So it is about absolutely growing enrollees and members, which we are focused on. You can see the success we are having in our cross-sell in the pipeline strength that we are seeing. And we have given you all transparency over the client wins we have been having, which will result in membership growth and enrollee growth as we look into the months and the years ahead. But I would also remind you all, it is also about growing our revenue per member.
Operator: Your next question is from Ryan Daniels of William Blair.
Ryan Daniels: Jason, maybe a big-picture question for you. I'm curious, with the timing here following your 15th annual forum, if you could talk a little bit about some of the key areas of focus among the client base or industry leaders and how that is perhaps different than a few years ago or perhaps how it intends to change some of your investment opportunities going forward to capitalize on what the client base is looking for.
Jason Gorevic: Yes. Thanks. It's a good question, and I appreciate it because it gives us a chance to step back a little bit. The big themes at the forum were around whole-person virtual care, virtual primary care and what I would call the blending of the different customer channels, right? So payers and providers looking sort of more like each other and being interested in sort of similar sets of product combinations relative to where they were historically, which was very distinct. And I think our -- what it really reinforced for me was the value of the breadth of our capabilities and the value of our presence and leadership position across customer channels, whether you're talking about hospitals or health systems or payers domestically or internationally. And a good example of that is the success that we're seeing in bringing chronic care solutions through hospital system channels like the Florida health system that we talked about today. And I think there was a lot oriented to what does it really take to do whole-person virtual care at scale. And we heard from large international telecom companies. We heard from industry luminaries, whether they're coming from a government perspective, a payer perspective, a consulting perspective or a provider perspective. And the other sort of big underlying theme, which I think is underscored in the results that we just announced, is [indiscernible] to stay, right? I mean I think everybody asked us for a year, are you going to be able to live up to the comp that you've set in 2020? And I think I'm really proud of the team and that our forecasts were accurate when we said this is here to stay, it's going to continue to shift to whole person multiproduct, multi-specialty, embracing of virtual care across the entire health care system. And it really reinforced our strategy.  So coming out of it, we feel even more committed to making the investments that we've committed to making in the underlying data science, in delivering on whole-person virtual care and in doing it at scale for all the constituents.
Mala Murthy: And that includes -- when we think about whole-person care and our investments, we've talked about investing in an integrated data platform. It's also about integrating our consumer and provider experience. That's important. So that would be an area of focus for us from an investment standpoint. And as the only global provider of virtual care today, it is also about investing surgically and in a disciplined way on international assets.
Operator: Your next question is from George Hill of Deutsche Bank.
George Hill: I'll say, Jason, I can't believe this one fell all the way to me, but is it too early to start talking about the selling season for 1/1/22 starts? And I'm going to try to one up Charles and say, HCSC aside, as we look forward, how should we be thinking about where growth comes from going forward? Is it more the upsell of things like Primary360 and myStrength new footprints or visit growth? And the question I'm really trying to get to is like the evolving growth algorithm of the company, whether -- where in the past, we were looking for new footprints and visit growth, and now it seems to be more about wallet share gains. I just kind of love to hear you talk about that.
Jason Gorevic: Yes. Thanks, George. I'm happy to talk about the selling season. I'll stop short of giving -- of exactly sizing the pipeline. But I do want to give some color on that. And let me walk back to the beginning of the year and what we were seeing from the beginning of the year and how that's evolved the last couple of quarters. At the beginning of the year, we talked about the fact that our pipeline was robust, and it represented 50% growth in the pipeline relative to the same time the year before. But we also said that the pipeline was weighted toward more early-stage deals, right? So it was earlier in the process, but the gross size of the pipeline was significantly larger. Since then, as you can see, many of those deals have progressed to closing, right, including the East Coast Blue plan that we talked about on the last quarterly call, including HCSC, including the large health system in Florida that we talked about rolling out chronic care management with. And so those deals are coming to fruition as well as the Primary360 signature that we just talked about. So those are coming to fruition. We're happy to see those close, and they've moved through the pipeline. But we've also seen, as I look at our pipeline today, our late-stage pipeline as those deals have progressed through the pipeline -- and our sales force has made progress on those. Our late-stage pipeline at this point is 20% greater than it was last year, right? So we're now at a point where we have great visibility into what that's going to look like because we've successfully moved those deals through the pipeline. And what's most exciting to me is, whereas last year, 50% of our bookings were multiproduct bookings, this year, at this point, we're up over 75% in terms of our multiproduct bookings. And after seeing an explosion in our average deal size last year, our average deal size in our pipeline now is up another 10% versus where it was last year. So when I put all of those things together, that's what gives us confidence as we look into '22 and beyond. And certainly, some of the deals that we've announced already are part of that. But I would say I'm at least as optimistic and excited about what's still in our pipeline as what we've already closed. So I feel very, very good about that. Mala, anything you want to add on the pipeline? Otherwise, we can try to squeeze in George's follow-up question.
Mala Murthy: No. I think you said it all.
Jason Gorevic: So with respect to the growth algorithm, I appreciate the question. And certainly, we've given a lot more insight into the growth of our PMPM, the importance of multiproduct growth, the importance of multiproduct enrollment for chronic care members. And all of that really lends itself to our competitive advantage with respect to delivering on a whole-person virtual care as opposed to all those point solutions out there that can only deliver one thing. And I think what you'll see is that will continue to be reinforced as we continue to execute on converting that pipeline into bookings and converting those bookings into revenue. And what I would say is hold tight a little bit for us. We anticipate having an Investor and Analyst Day toward the -- in the fourth quarter, where we expect to give much more insight into the long-term growth algorithm, the levers for growth and why we feel so confident about continuing to deliver on both the top line and bottom line growth over the next several years.
Mala Murthy: And I would also add, George, just a couple of additional points. We haven't talked much on this call about utilization and the very significant expansion in utilization we delivered during the quarter, and by the way, we have been delivering every quarter for the last several quarters. People were asking us last year, do you think the strength in your visits momentum will sustain. And as you can see from the results we are driving, we are seeing strength and we are seeing very strong growth in our visit volumes despite the fact that infectious disease volumes are down year-on-year, right, with all of the pandemic measures in place.  And so what we are seeing is a strong growth in our noninfectious disease volumes. We are seeing very strong growth in our specialty volumes, and those are fueling utilization expansion. I would also say with the growth in specialty, we are seeing more stickiness, whether it's the fact that we are seeing repeat visits growing, whether it is that we are seeing more of our members doing multiple visits or using multiple services. So all of that to me is -- that, in conjunction with what Jason talked about in terms of multi-products from a booking standpoint being over 75%, the fact that we are really penetrating and growing enrollment in multiple chronic conditions, to me, it is actually about the growing relevance we have to serve the health care needs of our members and our clients. And you will see all of that in terms of how we talk about our growth in the years ahead later this year.
Operator: Your next question is from Richard Close of Canaccord.
Richard Close: Congratulations. I appreciate all the details here. Maybe to just dive in a little bit more on George's question. The Street's at like 58 million members, I guess, estimate for next year. And it sounds like you made good progress with HCSC. But is that, call it, 9% year-over-year too robust and maybe ratchet that down and increase the wallet share? Is that something you would recommend?
Jason Gorevic: So Richard, we're going to stop short of giving guidance for next year. It's a little early for that. What I would say is we are -- we have been talking a lot about the expansion of our revenue per member. The fact is the breadth of our capabilities drives expansion of revenue per member, and the expanding role that we play in the health care system drives expanding revenue per member, right? So as -- I talked about our Primary360 is a perfect example of where we'll see higher PMPM and higher visit fees. The fact that we're up to 20% of chronic care enrollees, accessing multiple chronic care solutions drives higher revenue per member. The fact that our sales are now 75%-plus multi-product drives higher revenue per member. So if you're asking me, will a 9% expansion of membership get us to the numbers that we aspire to and expect to deliver? The answer is no, right? Will an expansion of our PMPM drive across the 70 million people who currently have access to our service? Certainly, that has a big lever to pull, and we expect to continue to add to that. So it's going to continue to be a mix of more people accessing more products with more visits and in new payment models that drives higher revenue. And we'll try to get into more detail around that and give you all enough that you can build out your models as we get into our Investor Day later in the year.
Mala Murthy: Yes. The good thing is, Richard, we are not reliant on one lever, right? As our results demonstrate in different years, we pull on different levers to drive our growth. And I would say the results and the revenue growth that we are delivering this year in totality and on an organic basis is in line with what we had when we gave you a preliminary outlook early last year, and then we followed it up with more specific guidance for the year, is absolutely in line with what we had expected. So as Jason said a few minutes ago, we were reasonably accurate in our forecast, in how we expected our growth to be given the fact that 86% of our revenue is access revenue in a given quarter this year. And that's going to continue to be the flavor of our revenue profile. We do have visibility into how we will grow our revenue, and it will pull on different levers.
Operator: Your next question is from Stephanie Davis of SVB Leerink.
Stephanie Davis: Could you give us an update on the competitive dynamics and kind of end-market trends in the hospital business given the push/pull of return to in-person visits in some areas, Delta variant in other geographies? And just a quick housekeeping follow-up because I want to sneak one in. Is there anything to call out in the other revenues, such as a lower proportion of hardware sales in your recent wins or anything like that?
Jason Gorevic: So I'll talk about the competitive landscape in the hospital market. Mala can speak to the other revenue. We're really excited about our partnership with Microsoft. The -- what we're hearing from hospital administrators is -- and really, this is the C-suite, is they want to turn virtual care into a revenue generator, a way to better manage their at-risk populations and to manage overall cost of care because more and more, they're on the hook for delivering value. And the combination of our purpose-built solutions for hospital systems, our chronic care solutions that help them really make an impact on readmission avoidance as well as the long-term cost of care for populations that they're taking risk on and Microsoft's deep integration into the administrative side of their business that leverages their Microsoft communications infrastructure, we think, is an unmatched combination. And that's what we're hearing from our hospital clients. So when we sit down with them and talk about the combination of all of those assets and potentially being able to bring Primary360 to them to be able to act as a lower cost sort of virtual front-end, front door into their health care system, all of that together is really reinforcing of our value proposition. And so I think the team has done an excellent job of looking across our assets as well as what the best external partner would be and creating what I think is going to be an unbeatable solution.
Mala Murthy: And Stephanie, in answer to your question around other, nothing really of note to talk about in the other. As you probably know, the other revenue that we report includes hardware sales, whether it be purchase or lease. We certainly are seeing -- with CapEx budgets under some strain, we are seeing some movement to lease. But I wouldn't say there is anything that is extraordinarily noteworthy in terms of shifts.
Operator: Your next question is from Sean Dodge of RBC Capital Markets.
Sean Dodge: Jason, maybe going back to the revenue per member discussion. On Primary360, in the pricing models, you said higher PMPM and maybe some higher visit fees. But maybe just to help us better appreciate the potential there, can you give us a sense of the magnitude of the impact we can have on PMPM? And then you said higher initial visit fees, but what impact do these have on increasing the number of visits? How big of a lift can these new programs have on utilization over the longer term?
Jason Gorevic: Yes. Sean, thanks for the question. I appreciate the sentiment behind the question. I'm going to stop short of asking like -- of answering what total magnitude of the PMPM increase could be because I think that will evolve as we take -- as we get value-based reimbursement as we ultimately take risk. Because I think, ultimately, we have the opportunity to take primary care caps and potentially even beyond what a traditional primary care cap looks like. But that's going to be a multiyear evolution. Some clients are going to move faster. Some clients are going to move slower to that eventuality. So I think you will see a meaningful increase for the populations who are within the Primary360 product. The ultimate question of how big of an impact will that have across our book of business will be dependent on how fast we roll out that product and the evolution toward value-based reimbursement. With respect to the increase in number of visits, I do think that has a significant opportunity, right? Being -- going from being a -- sort of if you look back 5 years in our rearview mirror, a virtual urgent care provider that was purely episodic to becoming someone's really virtual medical home, where they go as a first stop for all of their health care needs brings with it tremendously more frequency of interaction, higher value of interaction, a full care team, right, which will include primary care physicians, specialists, mental health providers, physical health providers, coaches, registered dieticians as well as digital assets.  And so I think the opportunity for significant increase in frequency and velocity and value of interaction is very real. And so I think we'll be able to capture the value that we create when it comes to those visits.
Operator: Your next question is from David Larsen of BTIG.
David Larsen: Can you talk a little bit about like the last mile of care? Do you have any interest or plans in getting into, like, say, the visiting nurse business, for example, or partnering with anybody who's actually doing that so you can deliver meds to members at their home and also take diagnostic tests in the home and so forth? Any thoughts around that would be helpful.
Jason Gorevic: Yes. Dave, it's a great question. And I would say that's a very important evolving part of the market and one that I want to partner with. I think the likelihood of us owning a field team that's going to be making house calls is pretty small. I think it's much more likely that we would partner with those who are doing that, and really importantly, take advantage of the evolving technology as well as the evolving sort of FDA approval process because, as you mentioned, more and more is going to be approved for administration within the home.  So totally agree that that's an important part. And we're already doing the work, especially on our Primary360 product to integrate with those solutions.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.